Operator: Good afternoon, and welcome to the Paycom First Quarter Fiscal 2014 Results Teleconference. [Operator Instructions] Please also note today's event is being recorded. 
 I would now like to turn the conference call over to Mr. Craig Boelte, Chief Financial Officer of Paycom. Mr. Boelte, you may begin. 
Craig Boelte: Thank you, and good afternoon. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our future plans, objectives and expected performance, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we have made are reasonable, actual results could differ materially since the statements are based on our current expectations and are subject to risks and uncertainties. These risks and uncertainties are discussed in our final prospectus filed with the SEC on April 15, 2014. You should refer to and consider these factors when relying on such forward-looking information. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law.  
 Also during the course of today's call, we will refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results is currently available in our press release that we issued after the close of the market today, which is located on our website at www.paycom.com. 
 I will turn the call over to Mr. Chad Richison, Paycom's President and Chief Executive Officer. Chad? 
Chad Richison: Thanks, Craig. I'd like to welcome everyone to our first quarterly conference call as a public company, following our Initial Public Offering, which priced on April 14. Here at Paycom, we are very confident in our future. And it is personally satisfying to see the Software-as-a-Service technology company that I founded in 1998 expand from payroll solutions in the cloud to an end-to-end human capital management suite. 
 Today, we are the only human capital management company with a single database end-to-end product in the market. We capture employee data from the applicant, all the way to retirement and everything in between, providing functionality in talent acquisition, time and labor, comprehensive payroll, talent management and human resources. All the functionality is included in one application, which eliminates the need for integration with other systems, making it easy to use and more efficient to manage. Because the data is in one place, it is accurate, trusted and highly impactful. While others claim to manage the entire employment life cycle, they are often dependent upon partners and rarely provide the full-service payroll function that is mission critical to facilitate the employment life cycle. At Paycom, we truly have a single end-to-end offering. 
 Now before we dive into the results, I'd like to thank our employees. Many of these -- this group are also investors in our company. I would also like to thank our clients, our investors and our advisers who were essential to getting us here. I'd also like to welcome the many new investors we met during our roadshow. We look forward to continued conversation with you over these years. 
 I'll begin today's call with highlights from the first quarter, and since this is our first quarter as a public company, I'll spend a little more time than usual introducing you to Paycom. I'll then turn the call over to Craig to walk through our financial results in greater detail and provide you with our second quarter and full year outlook. I will then outline some of our key initiatives for 2014 before turning it over to the operator for your questions. 
 So let's dig into the first quarter. We continued our solid momentum in the first quarter with a 34% increase in total revenue to $37 million, approximately 99% of which was recurring revenue. Annualized new recurring revenue, which is an estimate of the annualized amount of the first full month of new client revenue, increased to a record of nearly $12.6 million in the first quarter, up from roughly $9.6 million for the same quarter last year. 
 This was a very busy quarter as well for our technology team. In addition to growing our technical headcount by 61% since the end of 2013, the bulk of which are programmers and developers, we launched several new applications and enhancements, including a new survey tool and enhanced employee self-service features including mobile. We also launched a new data analytics tool called Paycom Report Center, which we are also very excited about. 
 Paycom Survey is a newly launched product that touches every user in an organization from top down, or from C-suite to the employee. In a matter of minutes, an HR administrator can create an employee survey with just a few clicks, push out the survey to get a pulse of the workforce. The solution is built from a single database and can be used in conjunction with our deep analytics and reporting tools to gain valuable insight into manager performance, employee on-boarding and departure trends. 
 During the first quarter, we completed our employee self-service redesign, which includes responsive coding that dynamically adapts to any screen resolution that the employee may be using. This is truly a consumerized user interface that effectively rightsizes the content to fit the device or screen that employees use on a daily basis, whether on a tablet, a smartphone, a laptop or a high-definition monitor. This is just another example of how we build technology with the end-user as our starting point. This redesign makes engaging with data and analytics even more user-friendly than it already was and provides a crisp, clean view of our solutions. 
 We are receiving overwhelmingly positive feedback from employees and managers who use our platform as their daily communication portal. Included in the redesign, we also added a new employee self-service feature called Employee Directory, which allows real-time access of all employee information as defined by HR policies. Employees love this because there's one less browser and one less database to log into. It puts all relevant, accurate and secure information at their fingertips. 
 We launched most of our redesign in the first quarter, and already we are seeing a change in behavior and usage. Employee log-in frequency is up 170% year-over-year. And employees are now engaging with our products 3x to 5x more than they used to. 
 Finally, we launched Paycom's multiclient code development. This feature is particularly useful for our larger clients and enterprises that have employees spread across separate business entities and tax identification numbers. If an employee transfers from one entity to another, companies traditionally had to transfer the records and tax codes. With Paycom's single database architecture, information now moves seamlessly when transferring employees, which maintains the integrity of the tax and compliance reporting chain. I'm very pleased that our clients are pulling our technology development teams deeper into the product suite and strengthening our competitive position in the market. 
 Due to increased demand, we expanded our geographic footprint ahead of our expectations, opening 5 new sales offices in Baltimore, Indianapolis, Philadelphia, Portland and Silicon Valley. We now have 31 sales teams in 30 offices around the country, with coverage in 25 of the 50 largest MSAs in the United States. As we've seen with our newly opened offices, we expect to see meaningful contributions from these locations as the year progresses. 
 As a reminder, we typically seed our new offices with experienced sales managers, which makes the ramp up to revenue more efficient. And as I will get into later, we're seeing that the strong demand for our technology is making it even easier to sell, as well as expand into new geographies. 
 Craig will speak to our financial performance in more detail later on the call. But needless to say, I believe, we're off to a very good start as a public company and I'm excited about our growth opportunity. 
 Since this is our first call as a public company, I want to take a few extra minutes to provide additional background on Paycom and describe our technology, our opportunity and our growth drivers. I founded Paycom in 1998 with the vision of transforming the payroll and human resources industry with an automated Software-as-a-Service solution that included not only the functionality, but the added benefit of real-time reporting and analytics. Paycom is the only SaaS HCM provider offering a single-database platform for the entire employment life cycle. It's a key differentiator that sets us apart from other players in the space. We're disrupting a large and growing HCM market. 
 At our core, we are a technology company with deep roots in SaaS architecture. Our comprehensive solution was developed on a massive single-database architecture in the cloud to solve the data integrity dilemma faced by many businesses. With Paycom, an individual's information exists only one time and in one location. And because our solution is built to manage the entire employment life cycle, which includes comprehensive payroll and tax reporting, there isn't a need to integrate with another database. Because our applications span the entire employment life cycle, our clients can streamline the full range of employment processes from recruiting and hiring, through termination or retirement and everything in between. 
 While our single-instance, multi-tenant SaaS solution is fully scalable across clients of all sizes, we derive 86% of our revenue from businesses which have between 50 to 2,000 employees. Without Paycom, these businesses are forced to integrate and patch together multiple products and databases to complete the entire employment life cycle, leaving them with data integrity issues and decreased usage. 
 While we believe we have the most comprehensive solution in the market, we are continuously innovating and expanding our SaaS solution to meet the evolving demands of our clients. Our internal and proprietary development process is 100% focused on the end-user, from the frontline employee to the reporting and analytical requirements of the C-suite. 
 Based on client feedback, sales team input and proactive innovation analysis, our R&D group assesses best-of-breed functionality and then performs a rigorous development process and quality specifications. Once approved, our developer teams can turn the high-quality new applications around very efficiently. Our SaaS solution and single database uses standardized development processes, which allows us to ramp up valuable technology talent very quickly as well. 
 While we are a technology company first, we have been very successful at turning our sales organizations into a key competitive strength. Our go-to-market approach is built on 2 core principles: number one, ensuring we are targeting companies that have a high probability of becoming long-term customers with high up-sell potential; number 2, ensuring we have the right sales reps and the right sales leaders selling the Paycom way. We have developed our sales processes internally, and we use our proprietary CRM to manage sales activity and deal flow. We have deliberately developed a sales recruiting, sales training and sales production process that is not dependent on any third-party. We traditionally promote from within and have a very low turnover amongst those reps who have achieved, what we call, executive rep status. We also have a dedicated team of client specialists that provide personalized one-to-one client support. They work hand-in-hand with our sales professionals to ensure seamless implementation as the clients switches over to and deepens use of our solution. These efforts, combined with our industry-leading SaaS solution, helps us maintain a high annual revenue retention rate, which over the past few years has been consistently 91%. 
 So in summary, this is a very exciting time for Paycom. It's just the beginning really, and we're bringing enterprise-class solutions to the small and medium business market in a profitable and efficient way. We have multiple vectors to drive sustainable growth, and we'll remain focused on developing new products and features that our clients want. We will continue to increase our penetration within our existing markets, add new clients and enter new geographies. There is a tremendous whitespace opportunity ahead of us, and we will continue to strategically meet the market demand with our disciplined approach. 
 Now, let me stop there and turn the call over to Craig to walk through our financial results. 
Craig Boelte: Thanks, Chad. I would also like to reiterate how pleased we are with the company's performance in the first quarter. I will review our first quarter financial results, as well as our guidance for the second quarter and full year 2014 in detail in a moment. 
 Before doing so, I want to quickly review a few key elements of our financial model, as this is our first quarter as a public company. One of the attractive characteristics of our business is that approximately 99% of our revenues are recurring revenues, based on fees clients pay us for our talent acquisition, time and labor management, payroll, talent management and HR management applications. 
 The services related to recurring revenues are rendered during each client's payroll period, with the agreed upon fee being charged and collected as part of our processing of the client's payroll. Collectability is reasonably assured as the fees are collected through an automated clearing house or a direct wire transfer as part of the client's payroll cycle. Because of the recurring nature of our SaaS-based business and high retention rate, we have excellent visibility. We charge implementation fees for the deployment of our solution and generate other revenue from -- as part of our time and attendance services. Implementation revenues are recorded as deferred revenues and recognized over the life of the client, which is estimated to be 10 years. Because this is a cloud-based SaaS model, we enjoy high gross margins of roughly 80%, with cost of sales largely consisting of hosting and support costs for our applications, along with employee-related expenses for client support, delivery and bank charges. We operate our own data centers and have been consistently benefiting from scale advantages to drive leverage. 
 We kept paid commissions to our sales reps based solely on new sales at the time of their first monthly billing cycle. This is a onetime commission paid, which we recoup over the life of the client relationship. While the impact of rapid growth puts near-term pressure from the sales and marketing expense line, this is more than offset over the long-term given the predictable recurring nature of our client relationships. 
 With this background in mind, let's review our results for the first quarter. As a reminder, as I review our fiscal first quarter results and our outlook for the second quarter in 2014, my comments related to certain financial measures, including adjusted EBITDA and net income, are on a non-GAAP basis, which excludes stock-based compensation and other nonrecurring charges, including transaction expenses related to the Initial Public Offering. 
 Total revenue in the first quarter of 2014 grew to a record $37 million, an increase of 34.1% compared to the same period last year. Within total revenue, recurring revenue was $36.5 million, representing 98.6% of our revenue, and growing 34% year-over-year. Implementation and other revenue of $0.5 million was up 42.4% over the prior-year period. As a reminder, the first quarter is a seasonally strong quarter due to annual tax form filings.  Annualized new recurring revenue or ANRR, a key performance indicator for us, was $12.6 million, up from $9.6 million in the same period last year. The strong growth that we saw in total revenue and annualized new recurring revenue was driven by accelerated growth in new clients and increasing average revenue per client as we continue to move upstream to larger clients. Our solid results are being bolstered by success of our sales force in adding new clients in our mature offices, which are offices that have been open for at least 24 months, adding new clients in our more recently opened sales offices and selling additional applications to existing clients. 
 Total gross profit for the first quarter was $30.1 million, representing a gross margin of 81.3%. This compares to gross margin of 82.4% in the prior-year period. The year-over-year decline in gross margin was largely a timing issue related to investments in headcount to support our growth. 
 Turning to operating expenses. Total administrative expenses of $26.9 million increased 56.6% year-over-year as we continue to invest ahead of our growth opportunity by adding new sales offices, adding to our R&D talent and incremental costs of being a public company. As Chad highlighted in his remarks, we increased our technical staff by 61% since the end of 2013. 
 Adjusted EBITDA was $6.6 million or 17.7% of revenue compared to $8.2 million or 29.6% of revenue in the first quarter of 2013. The decrease in adjusted EBITDA was primarily due to increased investment to support our growth, including sales commissions, new office openings and increased headcount. 
 We are pleased that we opened 5 new offices in the first quarter, more than we have in any prior year, and setting us up well for continued growth in 2014 and beyond. 
 Non-GAAP net income was $1.6 million, or $0.03 per diluted share, based on 48.4 million shares, versus $2.4 million, or $0.05 per diluted share, based on 47.9 million shares in the year-ago period. 
 Turning to the balance sheet. We ended the quarter with cash equivalents of $13.1 million and debt of $86.3 million. In April, we successfully completed our IPO, raising $64.3 million. In concurrence with the IPO, we repaid $65 million of debt, leaving our only outstanding debt relating to our Oklahoma City headquarters and data center facility. 
 With that, let me turn to guidance for the second quarter and for fiscal 2014. For the second quarter, we expect total revenue in the range of $31 million to $32 million, representing a growth rate of 31.8% at the midpoint. We expect adjusted EBITDA in the range of $4 million to $5 million, representing an EBITDA margin of 14.3% at the midpoint. Excluded from our non-GAAP adjusted EBITDA outlook for Q2 are stock-based compensation of $0.1 million, transaction expenses of $0.3 million and a onetime adjustment of $4.1 million related to the early payoff of our debt. 
 For fiscal 2014, we expect total revenue to be between $139 million to $142 million or 30.6% year-over-year growth at the midpoint. We expect adjusted EBITDA in the range of $19 million to $22 million, representing an EBITDA margin of 14.6% at the midpoint. Excluded from our non-GAAP adjusted EBITDA outlook for fiscal 2014 are stock-based compensation of $0.4 million, transaction expenses of $1.1 million and a onetime adjustment of $4.1 million related to the early payoff of our debt. 
 In summary, we are seeing very strong demand for our solutions and we plan to continue to invest in the areas of R&D and sales and marketing to fuel our high recurring revenue growth, while at the same time, delivering attractive profitability. 
 With that, I'd like to turn it back to Chad. 
Chad Richison: Thanks, Craig. As you can see, we are very excited about the future of Paycom and have high expectations. Before we open it up for questions, I want to layout 3 key initiatives for driving continued profitable growth in 2014. 
 First, we will continue to invest in our industry-leading SaaS solution. Our internal technology capabilities and product development are second to none, and we will continue to go deeper into the product suite throughout the year. We look forward to consistently adding new functionality, like the recent survey tool and mobile employee self-service and reporting modules. 
 Second, we will continue to invest in our people. Attracting new talent and getting them up to speed the Paycom way is critical to our long-term success. We have been very successful in this regard and expect to continue to add to our deep bench of R&D and sales teams. 
 Finally, our sales office growth strategy is working and we are confident this is the right go-to-market model. We added 5 cities in the first quarter because the demand was there and we were able to attract the talent we needed to act quickly. We will continue to opportunistically add new offices as the sales talent and market conditions demand. Just to give you a little more perspective, we had planned on opening 3 new offices in the first quarter this year and one more in the remainder of the year. We exceeded our internal goals and opened 5 new offices, because what we are finding is that the demand for our product is exceeding our expectations. At the same time, we are getting better at developing our sales talent and they are ramping up their productivity faster. 
 Our value proposition is resonating with businesses as they experience the benefits of our single database solution. As important as SaaS is, it's not a standalone solution. The product has to be differentiated. Paycom's key differentiator is that our SaaS solution uses a single database to provide all functionality included, eliminating the need to patch together multiple solutions, which allows a business to turn what was disparate data into actionable information. Because of that, we are winning our clients over, and they're changing the nature of their employee communications and processes. 
 We really appreciate your interest in the Paycom story and this is just the beginning. Paycom's off to a great start as a public company. We are excited about our current growth prospects and the opportunity for our company in the coming years. I believe we are well-positioned to sustain and build upon the positive business momentum we have well into the future. 
 With that, I'd like to turn the call back to the operator and open up the lines to take any questions. 
Operator: [Operator Instructions] And our first question comes from Raimo Lenschow with Barclays. 
Raimo Lenschow: A couple of questions for me. First, can you talk a little bit about the mix this quarter between payroll and non-payroll? And talk -- and Chad, maybe talk a little bit about the opportunity, like obviously, at the moment, majority of the businesses still have payroll. But as you kind of rollout new businesses like you've mentioned this quarter with the surveying business, how does it work in terms of kind of monetizing that? And how do we -- you see the market versus the payroll market in terms of as an opportunity? 
Chad Richison: All right. Well, first, Raimo, thanks for congratulating us and we're looking forward to this. So to answer your question, payroll is the core of any business function as you look at it. So 100% of all the companies that we work with, they do have our payroll offering. 
 Over the years, payroll's represented a smaller percent of the overall. It's starting to -- even though we have clients that do -- 100% of all of our clients do have the payroll offering, we've done a good job at developing out the entire employment life cycle. 
 So in answer to your question, I believe that payroll -- we'll continue to see growth in the payroll side. But the other offerings, the popularity that we've had in the other offerings are going to continue to grow as well. 
Raimo Lenschow: Okay. And then, like on the investment side for the year. So obviously, you kind of overachieved in Q1. I mean, how do we have to think about it? Like what triggers like extra spending versus non-extra spending if I think about the rest of the year? And how do you do -- how do you think about this new offering at offices? Do you do -- kind of do them -- you try to do them at the beginning of the year and then the rest of year is nothing, like you just kind of let them go live and kind of start performing and then you do that -- the next thing next year? Help us to understand that process that goes on at Paycom there? 
Chad Richison: All right. So from the -- it looks like that there was a couple of questions there. I'm going to take the first one. But as far as the sales office openings, we traditionally had a lot of success starting these in the beginning of the year, but just because they're able to ramp up by the end of the year. You're able to get staffed. We do onboard several clients. Even though it's well-distributed throughout the year, we do onboard several clients as well in January. And so we like to get those on-boarded and not really open up offices potentially at the first of a quarter. 
 What happened is in the first of the year is we saw some large opportunities. I mean, we've had increased demand for our products in certain areas, and we actually had the staff that was in a good position that we could actually promote into these new positions. And so we captured that opportunity due to the demand that we had for our software. 
Raimo Lenschow: So in a way, if you think about it, so 2 things came -- the 2 things basically came together, which doesn't really, in other words, happens like -- so you had the right people and the right city and they just -- the 2 of them came together, so it would be silly not to use it. Is that the way to think about it? Yes? 
Chad Richison: Yes, that's correct. And we're always going to look at the opportunity that way, for us anyway. The larger that we become as a technology company, as well as a sales organization, over time, you have more technology to sell, so you do have a lot more pull for your product, as well as you have a deeper bench of future leaders. And so over time, it becomes -- it's never easy, but it does become easier for us to open up additional offices. 
Raimo Lenschow: Yes. Okay, perfect. And then, one last question for me. It's like, maybe it's more for Craig or actually maybe for both of you. If I compare Paycom with other companies, I mean, you're using kind of option for employees a lot less than the other guys, a lot less. Can you talk a little bit about why that is? And how are you incentivizing your people? 
Chad Richison: Could you restate that question, Raimo? 
Raimo Lenschow: Yes. So I was trying to say like, if you look at Paycom and look like how extensively you use option -- well, you're actually -- you're not using options to your employees extensively, if I look at the charge that you have compared to other technology companies coming out of the Valley. Like can you talk a little bit about how you kind of motivate the people? I mean, a lot of these other companies say I need to give out options to get the employees happy, et cetera. What's your thinking behind that? And how are you doing it? 
Craig Boelte: Okay. I'll take that one, Chad. 
Chad Richison: All right. Go ahead. 
Craig Boelte: Raimo, what we've done is we have probably 200 to 300 employees that are actual owners of the company through the -- through our options plan. Prior to our reorganization on January 1, we were an LLC and we were able to use incentive units to incent the employees. So our valuation of those was significantly less. And as part of the conversion on January 1, they are still owners in the company, but our comp charge was significantly less. 
 As we move forward, we will continue to put plans in place to incent our people and keep them involved. 
Operator: Our next question comes from Sterling Auty from JPMorgan. 
Sterling Auty: Just 2 questions. I wanted to start with the 61% increase in the technical people. Are all of those being accounted for inside of R&D? And I want to make sure that I heard correct. I want to understand kind of where you're allocating that talent to today.  And maybe the follow-on to that is have you hired what you want to hire in the technical area for 2014? Or is there still more investment to come? 
Craig Boelte: I'll take the first part of that question, Sterling. Part of our R&D is capitalized as self-developed software. So what you're seeing on the income statement isn't the full amount of the R&D spend. So -- then, I'll turn it over to Chad. 
Chad Richison: Right. And so we increased our technical headcount by 61% this quarter, and these are programmers, developers and what we call QA, as well as product development. 
 All of our development -- most all of our development and definitely what this group coming in will be working on, it's all future development. It's not maintenance of the product. And so we have a lot of plans to continue to bring our SaaS technology to the market and we have some ambitious items that we'd like to go ahead and get completed as well. And so as the opportunity presents itself in the future, we'll continue to grow our R&D staff. 
Sterling Auty: And then, my follow-up question is when you look at that 50 to -- your core market, where you've got 86% of your customers currently. Some of the larger players, obviously, aren't standing still. I think they're investing in SaaS-related solutions also. Where do you think you are in terms of the head start that you've got on them? And the investment that you're making, is this going to be enough to kind of sustain that lead? 
Chad Richison: Well, that's a good question. I cannot speak for the others. I think you do have companies that are around, that are actually trying to -- they are actually in the process of converting to SaaS. This is a very serious industry that we're in. And we're really in an industry where, if you -- if you're 99.9% accurate, you get an F. And so everything really has to be locked up. 
 So we will continue to spend on the R&D side as we need to. And we've attracted a lot more research and development talent over the last year. 
Operator: Our next question comes from Richard Davis from Canaccord. 
Richard Davis: You kind of talked about it at a high level before, but kind of -- who and in what percentages are you replacing incumbent vendors? Who do you see the most? And I'm sure we'll be asking you this over the quarters and years as we go along to see how that evolves. 
Chad Richison: All right. Well, most of the time, the overwhelming majority of the time, we are replacing an incumbent provider. And most of the time, they have 1 or 2 -- well, most of the time, yes, at least 1 or 2 databases on the small end that we're replacing. As you move further up market, it could 3 or more. 
 Obviously, the largest legacy providers are the ones that we're going to run into the most. And we continue to have a lot of success competing against both them and others. 
Richard Davis: No names? 
Chad Richison: Well... 
Richard Davis: That's all right, I understand. That's fine, I was just teasing you. And then, one other question that sometimes I get is, is having a single database kind of one of the key differentiating? Is that one -- is that the most important reason that I pick your guys in a competitive takeoff? Or, I mean, obviously, it depends on the customer, et cetera, but is that a plurality of the reasoning behind me as a potential customer choosing you guys? 
Chad Richison: Yes. I think it's really what the single database provides on the back end. So it's really about the functionality and experience you can have with the single database, so that you're not -- you do not have the need to integrate or patch together multiple systems to actually use your data, which we actually turn into information. 
Operator: And our next question comes from Brad Reback from Stifel. 
Brad Reback: Craig, I think you mentioned during the prepared remarks that you've had success moving upmarket with some of your more recent customer additions. Could you maybe give us some sense, if you look at the average customer that you acquired here in the first quarter versus what the average customer looked like a year ago or 2 years ago, from where they're starting and how much upmarket you've been able to go? 
Chad Richison: Our average customer count is trending the way it has been trending for years now, which continues to trend up. And this is Chad, by the way. 
Brad Reback: Yes, Chad. But Chad, I'm sorry, not average customer count, but the size, the average customer size. What that customer looks like today versus what that customer looked like 2 years ago? Are you getting bigger customers? 
Chad Richison: Yes, we are. Our actual employee size per customer continues to trend up. 50 to 2,000 employees is a broad range, and there's a lot of opportunity for us to capture in that range. And really, that's the market segment that's highly dependent upon the information. And we have a very strong value proposition for them. 
Operator: [Operator Instructions] Our next question comes from Brendan Barnicle from Pacific Crest Securities. 
Brendon Barnicle: Chad, just following a little bit on Brad's comment. One of the things we'd heard from other companies this quarter was some difficulty in closing larger transactions. We saw some of them get delayed and pushed out a little bit. I'm wondering if you saw any of that in yours? I'm not sure that the ones we heard about were kind of in the size range. It might have been quite a bit larger. But I was wondering if you saw any changes in that -- the characteristics of closing some of your larger deals? 
Chad Richison: Thanks for the question, and no, Brendan, we have not seen any changes in that. As we reported, our ANRR for this first quarter was a record for us, and a lot of that has to do with our ability to close businesses right in our wheelhouse. 
Brendon Barnicle: Terrific. And then, you continue to build out the sales force and go city-by-city. And I was wondering how sales hiring was? That was another thing we heard this quarter from many companies is sort of some challenges in getting all the hiring they wanted done. I'm just wondering how that looked for you guys through the quarter? 
Chad Richison: This quarter, we actually exceeded our sales office opening expectations with actually being able to open 5. And a lot of that was due to the demand for our technology, but also our ability to find and source candidates to actually come and work for us. And so we have not experienced any problem with finding talent. 
Brendon Barnicle: And in terms of the sales talent, are you still sourcing that primarily from some of the -- from your competitors who have -- kind of larger and slower? Or are there some new sources? 
Chad Richison: Right. And so we do not traditionally hire from competitors. But that said, we're going to remain open to anyone that's talented in the sales process and wants to actually come work for Paycom and do things the Paycom way. We're always open to those individuals. 
 All right. Well, I want -- I'm sorry, go ahead. 
Craig Boelte: Are there any more? 
Chad Richison: Yes. Any other questions? 
Operator: Sir, at this time, I'm showing no additional questions. I would like to turn the conference back over for any closing remarks. 
Chad Richison: All right. Well, I want to thank everybody for participating in today's call and for your interest in Paycom. We're very proud of the hard work and dedication of our employees and we're excited about the huge opportunities ahead of us. And we look forward to speaking with everybody next quarter. So thank you. 
Operator: Ladies and gentlemen, that does conclude today's conference call. We do thank you for attending. You may now disconnect your telephone lines.